Operator: Good afternoon, ladies and gentleman and welcome to the Plexus Corp Conference Call regarding its Fiscal First Quarter 2014 Earnings Announcement. My name is Adrianne and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. After a brief discussion by management, we will open the conference call for questions. The conference call is scheduled to last approximately one hour. Please note this conference is being recorded. I will now turn the call over to Mr. Angelo Ninivaggi, Plexus' Senior Vice President, Chief Administrative Officer, General Counsel and Senior Secretary. Angelo Ninivaggi, you may begin.
Angelo Ninivaggi: Good afternoon everyone and thank you for joining us today. Before we begin, I should remind everyone that statements made during our call today that are not historical in nature, such as statements in the future tense and statements that include believe, expect, intend, plan, anticipate and similar terms and concepts are forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of major factors that could cause actual results to differ materially from those projected, please refer to the company’s periodic SEC filings, particularly the Risk Factors in our Form 10-K filing for the fiscal year ended September 28, 2013 and the Safe Harbor and Fair Disclosure Statement in today’s press release. Plexus provides non-GAAP supplemental information such as earnings excluding special items, return on invested capital and free cash flow. We present information that of special items because it provides a better indication of core performance for purposes of period to period comparisons. Return on invested capital and free cash flow are used for internal management assessments because they provide additional insight into on-going financial performance, in addition we provide non-GAAP measures because we believe they offer insight into the metrics that are driving management decisions as well as management’s performance under the task that it sets for itself. For a full reconciliation of non-GAAP supplemental information, please refer to today’s press release and our periodic SEC filings. We encourage participants on the call this afternoon to access the live webcast and supporting materials on the Plexus’ website at www.plexus.com by clicking on the Investor Relations at the top of the page and then Event Calendar. Joining me today are Dean Foate, Chairman, President and Chief Executive Officer; Ginger Jones, Senior Vice President and Chief Financial Officer; and Todd Kelsey, Executive Vice President and Chief Operating Officer. Let me now turn the call over to Dean Foate. Dean?
Dean Foate: Thank you, Angelo and good afternoon everyone. Please advance to Slide 3. Earlier today, we reported results for our fiscal first quarter 2014. Revenues were $534 million with non-GAAP diluted EPS of $0.61, both results were near the midpoint of our guidance range. Our non-GAAP EPS result this quarter excludes $0.10 restructuring charges associated with the transformation project here in the Fox Cities Wisconsin. As anticipated our revenues declined by approximately $34 million or 6% from the prior quarter as they were impacted by the $40 million revenue headwind associated with our disengagement from Juniper Networks that we announced back in our fiscal first quarter of 2013. Please advance to Slide 4 for some first quarter highlights. Our fiscal first quarter marks the four sequential quarter of operating margin improvement providing a measure of confidence that our 5% target is achievable. Our operating performance initiatives in conjunction with solid working capital management put us in a position to deliver return on invested capital of 14.5% or 350 basis points above our weighted average cost of capital. Our go to market teams delivered $205 million in new manufacturing wins, a strong result that keeps a trailing four quarter wins total well above our target setting the stage for return to top line growth. We made good progress in our Fox Cities transformation project where we are in the process of consolidating three older facilities into our newly constructed facility that was completed this past summer. The construction of our new lease facility in Guadalajara, Mexico remains on track for completion this summer, customer interest is encouraging. In response to increasing customer interest, we announced an investment in our Microelectronics Center of Excellence in our Boise manufacturing site. I believe this extension of our Microelectronics capability further enhances our brand as an engineering centric solutions provider. Turning now to our guidance on Slide 5. We are establishing fiscal second quarter 2014 revenue guidance of $535 million to $565 million. The midpoint of this guidance range suggests that our fiscal second quarter revenue will be up approximately 3% sequentially. We currently anticipate that our second quarter market sector performance will be mixed. We expect that overall growth will be driven by strong performance in our Industrial, Commercial & Defence, Security, and Aerospace sectors offsetting continuing end-market weakness in our networking/communication sector. Our Healthcare and Life Sciences sector is expected to be flat. We are guiding diluted EPS in a range of $0.57 to $0.63. Our EPS guidance includes approximately $0.10 of stock based compensation expense but excludes an anticipated restructuring charge associated with the consolidation of the third facility as part of our Fox Cities transformation project. I will now turn the call over to Todd for some comments about our market sectors operating performance and initiatives; Todd?
Todd Kelsey: Thank you Dean, good afternoon, please advance to Slide 6 for insight into the performance of our market sectors during our fiscal first quarter of 2014, as well as our current expectations for Q2 of fiscal 2014. Our networking communications sector was down 17% sequentially in fiscal Q1 which was in line with our expectations. Performance of our top ten customers was mixed with several significantly exceeding earlier forecasts and an equal number significantly missing expectations. Excluding Juniper, fiscal Q1 revenues were up 4% sequentially within this sector as a result of new program ramps in the growth of our top customers. We’re cautiously guiding a high single digit percentage decline in our networking communications sector revenues in fiscal Q2, as we’re seeing broad based weakness within the sector. 14 of our top 15 customers are projected to be down sequentially and most have softened over the past quarter. We expect this trend to reverse with growth projected within the sector in Q3, as we capitalize on new program ramps from recent wins. Our Healthcare/Life Sciences sector performed slightly above our original expectations with the revenue result up about 4% sequentially as most of our top customers performed above forecast. We originally expected to be flat, quarter over quarter. Interestingly we grew revenue with all of our top 10 customers in Q1 as compared to Q4 of fiscal 2013. Looking ahead to fiscal Q2, we currently anticipate revenues in our Healthcare/Life Sciences sector to be flat to Q1, as we see seasonal softness from a key customer offset by new program ramps. Our industrial commercial sector was down sequentially about 5% in our fiscal Q1. This was in line with our expectations of a mid-single digit decline, as several of our top customers were down quarter over quarter. We currently anticipate that our industrial commercial sector will be up in the low teens percentage range in our fiscal Q2 as we are seeing strengthening with several key customers in the impact of new program ramps. Our defense security/aerospace sector was up about 1% in Q1, a result that was softer than our expectations of a high single digit percentage increase. Several of our key customers missed the expectations dominated by a major security customer. The aerospace component of this sector was soft as well. We currently expect Q2 to be up significantly in the low to mid 20 percentage point range as compared to Q1 as we are seeing substantial strengthening in aerospace, primarily due to new program ramps. Turning now to new business wins on Slide 7. During the quarter we won 29 new programs in our manufacturing solutions group that we anticipate will generate approximately 205 million in annualized revenue when fully ramped in production well above our quarterly target of approximately 150 million. The new program wins were balanced across our regions with the Americas the largest at 48% of the win revenue. On a sector basis our wins were balanced as well with the networking communications and industrial commercial sectors having particularly strong quarters. Within networking communications we added a significant new customer and expanded our relationship with a key existing customer. Within the industrial commercial sector we added two major new customers. Our healthcare/life sciences wins were dominated by new programs from a major customer where we continue to increase our market share. Our defense security/aerospace sector expanded relationships with several key customers and added a major microelectronics customer. In addition we had another good quarter in engineering solutions with new program wins totalling approximately $17 million, our engineering wins were particularly strong in healthcare/life sciences sector where our product development capabilities continue to differentiate in the market place. Slide 8, our wins performance in fiscal Q1 as shown by the overlay green bars was up from Q4 and was above our goal. Our trailing four quarters wins is shown by the blue bars is currently at $715 million which is sufficient to keep our wins momentum well above our 25% goal. This key metric remains at 32% which we feel is a very healthy number. We are driving hard to continue this performance in coming quarters in order to achieve our goal of returning to growth in fiscal 2014. Advancing to Slide 9, despite a strong wins quarter our teams expanded our funnel of new opportunities to $2.3 billion, well above the previous quarter, in near record level. Our funnel was balanced nicely across our four market sectors, with healthcare/life sciences the strongest. We continue to leverage a quality regulatory and engineering solutions expertise within this critical market sector to drive increased market share. We believe a total funnel of over $2 billion is sufficient to sustain our wins performance. Turning now to facilities projects, we’re about two thirds complete with the transition into our new manufacturing facility in the Fox Cities Wisconsin, which is shown on slide 10. To date the transition has been flawless. We’ve established centers of excellence for aerospace, healthcare/life sciences and networking communications market sectors within the facility. Each of the centers is actively fulfilling for our customers, we will complete the transition during the fiscal second quarter when we’ll finish the remaining customer transitions and launch our rapid prototyping and aftermarket services factories. As a reminder this site enabled us to exit two leased facilities in [indiscernible] Wisconsin and one smaller own facility in Appleton Wisconsin on delivering improved gross margin. We continue to progress on our new manufacturing facility in Guadalajara, Mexico shown on slide 11. This will be a 265,000 square-foot facility to enable further penetration into the low cost Americas market. Construction is advancing according to plan and the facility is expected to be complete in the third fiscal quarter of 2014. We’re making substantial progress on our Microelectronics initiative. In fiscal Q1, we announced an expansion of our Microelectronics Center of Excellence in Boise, Idaho, tripling its size and investing in new equipment. The new facility is shown on slide 12. We have increased our focus by putting in place a new General Manager and a dedicated Subject Matter Expert for new business development. We’re also leveraging our product development capabilities in regards to Microelectronics providing our customers an integrated service offering across our entire Product Realization Value Stream. These investments have directly contributed to several recent wins in a substantially improved funnel. As a reminder, Microelectronics margins are typically in line with engineering solutions margins which are significantly higher than core manufacturing. Now, we will turn to our recent cash cycle performance on Slide 13. Our net cash cycle for Q1 ended at 62 days within our guidance range. As a reminder, our cash cycle for Q4 of fiscal 2013 included a 7-day positive impact as a result of Juniper inventory deposits and timing of Juniper inventory sales, removing these impacts our cash cycle was two days higher in Q1 as opposed to Q4 primarily as a result of investing in inventory for new program ramps. When viewing our longer term cash cycle results prior to the Juniper disengagement, we see substantial progress in our metrics. We expect to continue this trend in F14 through our on-going supply chain initiatives with our cash cycle exiting fiscal 2014 in the high 50-day range. Finally as shown on Slide 14, I would like to highlight the results of the progress of our operational initiatives. Our manufacturing solutions, supply chain and go-to-market organizations have made significant strides on productivity initiatives. As a result, we’re able to expand operating margins from 4.0% to 4.8% over the course of the past five quarters. This includes an increase from 4.7% to 4.8% quarter-over-quarter despite a contraction of revenue. When comparing Q1 F14 operating performance to Q1 of fiscal 2013, we see an 80-basis point improvement in operating profit margin on essentially the same revenue. Our operating performance initiatives are designed to return us to our targeted operating margin goal of 5% as we exit fiscal 14 and maintain this performance over the long term. While we expect a seasonal headwind progress in Q2, our recent results originating from our operational initiatives provide confidence that we have the improved operating performance necessary to achieve our financial goals. With that I’ll turn the call to Ginger for a more detailed review of our financial performance. Ginger?
Ginger Jones: Thank you, Todd. Our fiscal first quarter results are summarized on Slide 15. First quarter revenue was 534 million near the midpoint of the guidance range for the quarter. Gross margin was 9.6% for the fiscal first quarter in line with our expectations and consistent with the fiscal fourth quarter results. Selling and administrative expenses were 26.1 million at the low end of our expectations for the quarter as a result of continued cost management. SG&A as a percentage of revenue was 4.9% in the fiscal first quarter, again consistent with the fiscal fourth quarter. Operating margin before special items was at the top end of the guidance range of 4.8%. Diluted EPS of $0.51 includes a $0.10 per share net detriment as a result of after tax restructuring charges in the amount of 3.6 million related primarily to the previously announced consolidation manufacturing facilities in the Fox Cities Wisconsin. Excluding these restructuring charges non-GAAP EPS of $0.61 was in line with our guidance. Turning now to the balance sheet on Slide 16. Return on invested capital was 14.5% for the first fiscal quarter of 2014, a 50 basis point improvement from the prior quarter and 350 basis points above our weighted average cost of capital for fiscal ‘14 of 11%. During the quarter, we repurchased 174,000 of our shares for approximately $6.9 million at a weighted average price of $39.88 per share. The shares were purchased under the 30 million stock repurchase program authorized by the Board of Directors on August 19, 2013. The company expects to complete the authorized repurchases on a relatively consistent basis over fiscal 2014. Our cash cycle for the fiscal first quarter was 62 days in line with our expectations. As expected cash cycle days were nine days higher than results in fiscal fourth quarter. In total, working capital increased by approximately $31 million during the quarter. We increased inventory by approximately 36 million to support the ramp of new customer programs offset by a corresponding $24 million in accounts payable. In addition, we return $26 million in excess cash deposit to Juniper Networks during the quarter under the terms of the disengagement agreement. These cash flows were the primary reason for the negative free cash flow of $80 million during the quarter. Dean has already provided the revenue and EPS guidance for the coming quarter. I will now turn to some additional comments on the fiscal second quarter of 2014 which are summarized on slide 17. We expect restructuring cost of approximately $600,000 in the fiscal second quarter related to the completion of the consolidation of manufacturing facilities in the Fox Cities, Wisconsin. These costs are excluded from the guidance discussed today. Gross margin is expected to be in the range of 9.4% to 9.6%, as expected this is below our gross margin of 9.6% in the fiscal first quarter. This reduction in gross margin includes the impact of [merit] increases for employees implemented at the beginning of the calendar year and the reset of payroll taxes for U.S. employees. We expect SG&A cost to be modestly higher than in the fiscal first quarter in the range of 27 million to 28 million. At the midpoint of our guidance range for revenue this will result in approximately 4.9% to 5% SG&A as a percentage of revenue. This increase in the prior quarter is primarily the result of [merit] increases for employees and the reset of payroll taxes. This results in expected operating margin of approximately 4.4% to 4.6%. A few other notes, depreciation and amortization expense is expected to be approximately $12 million in the fiscal second quarter flat with the $12 million in the fiscal first quarter. We are estimating a tax rate for fiscal 2014 of 10% above our fiscal 2013 tax rate of 3.2% and at the high end of our previous expectations of 8% to 10%. Our expectations for the balance sheet are for working capital dollars to be up from the fiscal first quarter, based on the forecasted levels of revenue we expect these changes will result in cash cycle days, net of cash deposits of 62 to 64 days for the fiscal second quarter of 2014. This increase in days reflects increased working capital investment to support expected higher levels of revenue in the remainder of the fiscal year. Our capital spending forecast for fiscal 2014 remains at approximately $75 million, the majority of this estimate is equipment spending to support new program ramps and the leasehold improvements for our new leased facility in Guadalajara, Mexico. I will now turn the call back to Dean for some wrap up comments.
Dean Foate: All right, well thank you Ginger. I thought I'll wrap up our comments today by highlighting a few items that will be focused on as we move through the coming quarter. So, now we are on slide 18 here. First, we must continue to achieve new business wins at or above target so that we can deliver modest growth in fiscal 2014 and importantly carry growth momentum into fiscal 2015. Number two, while we anticipate seasonal cost pressures in our fiscal second quarter as Ginger pointed out, we must continue making progress on our operational and productivity initiatives so we deliver operating margin in line with the 5% target as we exit fiscal 2014. Number three, we need to complete the remaining facility consolidation associated with the Fox Cities transformation project, so that we can begin to benefit from the operating synergies. Number four, we are working to build a management team to lead our new cost -- our new low cost America solution in Guadalajara, Mexico. Five, we must continue to build revenue momentum into our new Oradea, Romania facility. And finally number six; we must stay focused on achieving operational excellence for our customers while endeavouring to provide more value with our unique comprehensive value stream solutions. And with that we will turn the call back to Adrian and she will facilitate questions.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions]. And we have Wamsi Mohan from Bank of America online with the question. Please go ahead.
Wamsi Mohan - BoA: Yes, thank you. Dean, just trying to understand the commentary around networking communication, I think last quarter you mentioned the strengthening of forecast particularly in wireless infrastructure, this quarter sounds very different with broad based weakness 14 or 15 customers down in your guidance. What do you think changed over there and are you confident that this is not because of any share shifts?
Dean Foate: Thanks, Wamsi. Yes, we are quite confident it’s not a consequence of share shifts and it’s not to say we don’t have specific customers with certain product lines that are actually doing quite well in the end markets but I would -- in my view as I look at the forecast that we had for Q2 a quarter ago as we are looking forward and I look at the number of reductions in forecasts, I mean I just liken it to the customers base broadly did a reset on expectations for the full year and kind of pushed it out of quarter. So, we're still seeing pretty decent performance in the back half of the year but we are seeing kind of a one quarter reset in overall expectations, again not to say we didn’t see some decent performance among a handful of the customers of certain product lines but overall it just seems to be a bit of a reset.
Wamsi Mohan - BoA: Okay, thanks Dean. And as a follow up may be for Ginger, of your operational initiatives, which inning would you say you are in, in terms of driving operating margin improvement, I know Todd alluded year-on-year significant operating margin improvement which is great but relative to the targets that you guys back at or may be not formal targets but what you thought you could accomplish in fiscal ’14, some of the opportunities that you highlighted at the Analyst Day, 50 basis points of potential improvement in fiscal ‘14. Where do you think you are tracking with respect to that?
Todd Kelsey: This is Todd, I will take a crack at explaining this in a little bit more detail. I would say we’re still relatively early in the process and if you think back to the Investor Day I have broken this down into F'14 opportunities and longer term opportunities where the F'14 opportunities were focused around supply chain, really our operational efficiency which is really equipment and processes and an improved market sector mix. And then the facilities consolidation in Neenah, and I would say we have not really capitalized on any of the facilities consolidation in Neenah as of yet, that’s really a second half or really the back end of F'14 type activity. The other initiatives I would say we're well underway but there is still substantially more opportunity. And then as we look at longer term it really isn’t around enhanced capabilities around the ends of our value stream, more accelerated growth in engineering solutions, accelerating our aftermarket services offering and our Microelectronics offering as well too. So those are really the key focuses as we look further out. But I would say we’re relatively early but making great progress on really all fronts.
Operator: And we have Jim Suva from Citi on line with a question. Please go ahead.
Jim Suva : I found comments about the security a little bit interesting. Could you give a little bit more color around that? Was that more like federal government you think caused kind of a ripple effect to things? Do you think it’s more the security snooding effect or any preference or retalitation against orders to US. So just help me understand your comments around the security a little bit.
 Citi: I found comments about the security a little bit interesting. Could you give a little bit more color around that? Was that more like federal government you think caused kind of a ripple effect to things? Do you think it’s more the security snooding effect or any preference or retalitation against orders to US. So just help me understand your comments around the security a little bit.
Dean Foate: Jim I don’t know that I would read too much into it broadly speaking about that the environment for customers there. And this is really the security portion of our overall DSA sector is relatively small and its highly dominated for us by the performance of a single customer and that customer is just having a difficult time what the demand of the specific product that they have in the marketplace that are very strong demand through last year if I recall, can’t remember if it came down. But they are still going a little bit in their end markets. I don’t think there is a broader read on it.
Jim Suva - Citi: Okay and then now that Juniper has kind of gone its way, when we look at your top customers if I remember correctly you have about 50% or 52% of your top 10 customers. Are there any over 10% if so how many and how big would those be?
Ginger Jones: Jim there are none of them that are over 10% and a handful that are slightly below that at kind of 8% to 9% range.
Jim Suva - Citi: So it seems like Plexus is a lot more diversified now if I were to look at that way, is that the way you kind of view it?
Dean Foate: Yes, I think that’s a fair assessment Jim I think and even when you consider the customer that frequently kind of bumps almost up the 10% is General Electric and when you contemplate our business with General Electric, certainly a substantial amount of it is in Healthcare Life Sciences. But we’re also building a pretty good position in other markets that they serve which are really decisions at least for sourcing are made very independently among the different major operating use of General Electric.
Operator: And we have Steven Fox from Cross Research on line with a question. Please go ahead.
Steve Fox : Just first off Ginger, just to clarify, you are saying that the ramps related to or the inventories related to ramp was $36 million that was all related to the ramps?
 Cross Research: Just first off Ginger, just to clarify, you are saying that the ramps related to or the inventories related to ramp was $36 million that was all related to the ramps?
Ginger Jones: That was the increase during the quarter and yes I would say the bulk of that was really into ramps of new programs.
Steve Fox : And then just in terms of some of the comments around customers where you have one new customer I think you mentioned healthcare and industrial and also expanded with a number of customers. Can you just talk about how much of that was sort of insourcing to outsourcing, any examples you could provide versus say market share gains?
 Cross Research: And then just in terms of some of the comments around customers where you have one new customer I think you mentioned healthcare and industrial and also expanded with a number of customers. Can you just talk about how much of that was sort of insourcing to outsourcing, any examples you could provide versus say market share gains?
Dean Foate: We’ll let Todd take a swing at that.
Todd Kelsey: I am trying to check my notes a little bit here Steve. I mean really off the top of my head and looking at the list here, there wasn’t a lot of insourcing to outsourcing type decisions that were here either involved taking products from competitors or new product launches.
Steve Fox : And then just last question from me, could you talk a little bit about your success on the new programs you’ve talked about over the last year, 1.5 years. Have you seen much in terms of push outs or are things still ramping like you would have thought say a year ago with the new wins.
 Cross Research: And then just last question from me, could you talk a little bit about your success on the new programs you’ve talked about over the last year, 1.5 years. Have you seen much in terms of push outs or are things still ramping like you would have thought say a year ago with the new wins.
Dean Foate: Well just generally speaking I don’t know that anything is materially pushing out but I would say that new programs like one or two programs are subject to same sort of broader economic challenges and of course the optimism around the ramp rates from customers has been in reality is tempered some from what the original expectations were. We’re trying to account for some of that based on our own thought process around economic growth but clearly new products are going to be effected by that too, to some extent unless they are really making a new market and there is substantial demand in that new market.
Steve Fox : Well, Dean, I guess what I’m trying to get at is, like if I look at the $715 million for example of trailing four quarter wins. I mean is there a way to say like how much that’s been diluted because of the economy? Because it seems, it’s -- as we go forward trying to figure out what kind of growth rate you could return to that metric is sort of something that we could use to figure that out.
 Cross Research: Well, Dean, I guess what I’m trying to get at is, like if I look at the $715 million for example of trailing four quarter wins. I mean is there a way to say like how much that’s been diluted because of the economy? Because it seems, it’s -- as we go forward trying to figure out what kind of growth rate you could return to that metric is sort of something that we could use to figure that out.
Dean Foate: Yes, it is. I think at this point I think that our modeling now is reasonably well accounting for that because we’ve been in this slow growth period now for quite some time. So I would think that $715 million is reasonable in terms of our typical modeling.
Dean Foate: Yes, if you wanted to provide some further clarity to it.
Ginger Jones: No, the only other clarity I would add further to might be on the call, the other factor when you think about modeling our revenue going forward is that we add new revenue and overtime as the programs ramp but we also on the base business contracts as we have end of life program and cost down to our customers. And we estimate that is about 10% per year. So when you balance the two of those Steve as you know that’s what we’ve looked to model when we look at future revenue.
Steve Fox : Great, that’s very helpful. Thank you.
 Cross Research: Great, that’s very helpful. Thank you.
Dean Foate: Thank you.
Operator: And we have Sherri Scribner from Deutsche Bank online with the question. Please go ahead.
Sherri Scribner - Deutsche Bank: Hi. Thanks. I just wanted to ask a couple of questions on the income statements and I just want to clarify I think you said the tax rate next quarter is 10% and you expect that going forward. Just curious why is that tick up?
Ginger Jones: So that is our estimate for the full year as the higher -- slightly higher tax rate. And that’s based on higher earnings and profitability in the jurisdictions where we do pay tax and for us primarily that is in China. Because as you know we don’t pay tax in Malaysia and our -- and we’re not currently paying tax in the U.S. based on our operating results here in the U.S. So it’s small changes in our -- in the locations where we do pay taxes can have a big impact on our tax rate.
Sherri Scribner - Deutsche Bank: Okay, that’s helpful. And then thinking about the new facilities coming online, stock cities in the second quarter in the Mexico further on the fiscal year, I know that it helps you in terms of the consolidation on the expense side but does that -- do you have an impact to depreciation or is the depreciation already being recognized and how should we think about cost at least in the COGS line and maybe in SG&A line as those facilities come on?
Ginger Jones: Yes, we will see more amortization and depreciation in the second -- primarily in the second half of F'14. So we’re currently at about $12 million a quarter and that could be by Q3 that could be about $13 million a quarter. And that’s a combination of the Neenah facility and beginning to amortize the Guadalajara facility as well.
Sherri Scribner - Deutsche Bank: Okay. Thank you.
Dean Foate: Thank you.
Operator: And we have Mark Delaney from Goldman Sachs online with the question. Please go ahead.
Mark Delaney - Goldman Sachs: It’s great. Thanks very much for taking the question. First, I was just hoping to better understand your view of fiscal ’14 revenue growth in total. I understand there is some -- maybe some incremental weakness in the networking market. It sounded like things may have picked up in some of the industrial end markets. And so, putting that all together, do you still think you can grow your fiscal ’14 revenues slightly year-over-year?
Dean Foate: Well, that’s what we expect to do right now. I mean there's a few little maybe pieces to consider here. If you contemplate Q1 of fiscal ’13, we had $66 million of Juniper revenue in that quarter. And we’re right about on top of the same revenue run rate today as we were in that year-ago quarter. So, there is substantial evidence that the new business wins that we managed to close on last year had a positive effect. As we look through our various market sectors for the full year, all of our market sectors with exception of networking and communications are growing in the mid-teens or so range. And with respect to networking and communications I believe we’ve, on a full year basis, replaced about 50% of the Juniper revenue, which was for all of last year about $282 million. So unless something falls apart on us here, it looks certainly that we’re going to live up to our kind of modest single digit full year growth. But of course the annualized revenue in that final quarter then would suggest that we’ll have pretty strong growth in fiscal ’15, particularly if we continue to show the new business wins at a strong performance here as we continue to move through fiscal ’14.
Mark Delaney - Goldman Sachs: That’s helpful. Thank you, Dean. And then for my follow up question, Ginger, hoping you can help us bridge, from the operating margins of 4.5% for fiscal 2Q to the 5%. You think you can get two exiting in fiscal ’14. Should we think of that as a linear progression as revenue comes on you can leverage the fixed cost or are there step function things we need to be thinking about for you to execute upon in order to get to the 5%?
Ginger Jones: Well, we think that improvement will happen over the second half of F'14. And it’s driven both by the initiative -- and essentially all by the initiatives that Todd talked about. A portion of that will be more naturally back-half loaded, which is the benefit from the consolidation of the facilities because as we’ve discussed that’s not even going to complete until the end of this quarter. But I would think there will be a steady progression of operating margin from fiscal fiscal Q2 to our target which we’ve committed to hitting as we exit F'14. 
Operator: And we have Shawn Harrison from Longbow Research on line with a question, please go ahead.
Shawn Harrison - Longbow Research: I am going to ask you to look way into the future. Let’s say we are in the fiscal, we get through ’14 and we get in to kind of a more normalized environment in ’15; where do you think with the new capacity coming online, offset by kind of the facility consolidations, gross margins kind of peak out at on a normalised basis?
Todd Kelsey: It's hard to think too far forward to be honest with you, [indiscernible] over the last couple of years, but you know, and some of them still depends upon the rate of acceleration in overall global economic growth of course too, because there is a tremendous focus in low growth or no growth environment by customers on cost, and that shifts toward capacity and execution and issues of quality et cetera in periods of high growth. So you have that as a backdrop. But I would just say that the real issue here with gross margins for us, in some respect is customer limited. I mean, when you start getting up in that high 9% to 10% range, it just gets an enormous amount of attention from customers and they all expect that you’re getting all that gross margin excess from them. So we view it as -- you know there is an upper volume there that’s really around pricing and sort of the expectations of customers that you just can’t exceed. 
Shawn Harrison - Longbow Research: I guess, maybe the other way I was thinking about is; if you get to the target model exiting ’14 and into ’15, it looks as if you wouldn’t have to deliver a high 10% gross margin to achieve this goal. I am just wondering if that’s maybe more than steady state operating environment kind of a mid to upper 9s. 
Todd Kelsey: I think that’s fair. And I think that’s the way we're thinking about in part because it’s just that -- we’re getting the scale now where we are going to operate with a more efficient SG&A structure and frankly it creates a little less attention on pricing in the marketplace as well, in that kind of mid upper 9s kind of range.
Shawn Harrison - Longbow Research: And then Todd, nice expansion on the funnel this quarter, do you think that’s maybe kind of the big expansion we'll see for the year, maybe kind of the factors that really helped at this quarter and kind of what are the opportunities to further expand it further, because it doesn’t at least based upon the program when you need, look like you need a much bigger funnel than 2.3 billion. 
Todd Kelsey: I think you are accurate there. I think we feel really good about the funnel worth that, I mean obviously we would always like a little bit more in the funnel, but I think this is a very healthy, very realistic level when we get into the $2 billion to $2.5 billion range. It’s an area where we feel very comfortable given the scale we are at right now.  
Shawn Harrison - Longbow Research: Was there one factor that drew the uptick this quarter, or was it just more of a timing issue?
Todd Kelsey: No, I won’t say there is one factor. I think it’s just really the teams getting after it with activity and really surfacing some larger opportunities. That gets to be the best way to look at it. I think the number of opportunities about the same, but we are seeing some pretty good size ones right now too.
Operator: And we have Brian Alexander from Raymond James online with a questions, please go ahead.
Brian Alexander - Raymond James: Just a couple of clarifications, Ginger, on the 5% operating margin; what level are revenue? What’s the minimum revenue you think you need to be at to exit the year to hit that 5%? And then assuming you do get there; how do you think about expanding operating margins beyond 5%, you know over the next couple of years with all the productivity initiatives that Todd outlined that you still have a lot to benefit from? Do you expect to eclipse that or would you basically reinvest those benefits into growing the business?
Ginger Jones: Yes. I will start with the revenue number. We haven’t tied the operating margin to a specific revenue number, but we’ve been clear about our expectations. Given the forecast today, we think we’re going to grow sequentially through the balance of ’14 and we think overall that will be low single digits growth given our current forecast. So with that, right, we think we can deliver the 5% operating margin. Turning to this idea about longer term is there are opportunities for upside on the 5% operating margin. You know this is a really difficult business and Plexus delivers industry leading operating margins as it is and we work really hard to deliver them. So we are focused on achieving that 5% really consistently and continuing to grow the business in the mid-teens and we think that’s the way to deliver the most value to shareholders. And that continued focus on growth and delivering the margins consistently means we will invest in the business over time and we think that’s the right focus. So you know, honestly, there maybe quarters where margin tops above 5% briefly. Based on new customer mix, but we don’t expect that that’s going to be our focus in the long run. And frankly we’re very proud of delivering the margins we do. And we think 5% is a great achievement and we’re going to be happy when we deliver that at the end of the fiscal year. 
Brian Alexander - Raymond James: And then Dean, just going back to your comments on the networking and communications business, I think you referred to the guidance is kind of a one quarter reset. But you are seeing pretty broad-based weakness, maybe just help us understand, you know why you think you’re seeing that. What caused the reset and why you’re confident that it’s temporary and that we return to sequential growth thereafter.
Dean Foate: Well I wish I was completely confident it was temporary because it’s been quite a volatile sector here over the last quite frankly couple of years, but as it looks right now I mean, we’re seeing a decent recovery here in Q3 and into Q4. Part of that is better expectations by our customers for what’s going to happen in the back half of the year and I think from my understanding in reading what our sector team is saying in regards to capital spent by the carriers and others I would suggest that the forecast that we get from these customers seems at least believable here in the back half. The other portion of this that gives us a little bit of a hedge is that we’ve won some new business as well, so we’ll get the benefit from the ramping up with some of those new programs here as we come to back half of the year as well.
Brian Alexander - Raymond James: Okay and then final one, of the 98 million new wins for the Americas, how much of that was for Guadalajara and how much of that capacity, I think you said 265,000 square feet, how much of that do you ultimately expect to be for net new business versus transfers from other sites?
Dean Foate: Well, let’s let Todd take it, I mean the building is not finished yet, so it’s hard to win new business into an empty building that’s under construction frankly. But we intend to do a warm start there, with some transfer business, so I'll let Todd..
Todd Kelsey: I guess first of all I’d say as Dean had alluded to here Brian, we're transitioning or transferring some business into that site and that’s already identified and planned, so that’ll get the site off to a really nice start. We also did of the 98 million in the Americas, there actually is a Guadalajara win in there despite the fact that we don’t have a facility yet, but we’re launching that into a different facility in the Americas and we will transfer that business as well too, so. So in essence we’ve got some new commitments. Now what I would say about Guadalajara is the interest have been really good and the funnel is surprisingly good for a site that really isn’t launched or doesn’t exist as of yet, other than in a shell form.
Operator: And you next question comes from Todd Schwartzman from Sidoti & Company, please go ahead.
Todd Schwartzman - Sidoti & Company: Hi, thanks and good afternoon, question in here regarding the consolidations as you complete the respective consolidations. Could you quantify the incremental impact on those remaining pieces either on a quarterly or annual basis going forward?
Ginger Jones: Todd this is Ginger, I just want to make sure I understand your question, the quarterly impact on margins from that benefit, from that...
Todd Schwartzman - Sidoti & Company: On SG&A, yes Ginger, when all is said and done and you’ve got Guadalajara and the remaining third I think the one third piece of Fox Cites, what have you put out any numbers in terms of dollars, dollar savings?
Ginger Jones: We have and so, and it’s been a while since we refreshed this, so when we did the analysis last summer there were going to be one time charges of approximately $3 to $4 million to do the consolidation and then an annual benefit from efficiencies and better cost structures of around $4 to $5 million annually from the new operating structure, so the cost would pay themselves back in about a year or so, so that’s at a high level, the benefit we can see once we’re fully consolidated.
Todd Schwartzman - Sidoti & Company: So no change to those expected efficiencies since your initial forecast, correct?
Ginger Jones: No.
Todd Schwartzman - Sidoti & Company: Also, I wonder if you could regarding the networking customers, if you could speak to the magnitude of the reset expectations on the part of those, think you said 14 of the top 15 are just going to get a feel for what the variance is among them in terms of the deltas if you will.
Dean Foate: You know that number off the top, Todd, versus…
Todd Kelsey: Well, I can still, so basically we talked about 14 or 15, it’s really down sequentially so I would say of those probably half of them actually lowered forecast so the other half was expected, what’s interesting though is the one that’s up is way up, I mean it’s up very substantially and that really, this is one of our customers that’s winning in a big way in the market place, and I think when you look at the other customers it’s really a bit of a mixed bag as to what’s going on. Some of its new program wins where they’re really getting to a reasonable inventory position, it’s just pausing a bit, others are customers that are really having some challenges in the marketplace and are really going down because of that. So it’s just mixed as to why, but it’s really half that have gone down.
Dean Foate: I can just give you another piece of data here, so when we consider what the Q2 forecast was a quarter ago, so this was when we’re doing the call last quarter, the Q2 forecast came down by for that sector alone came down about 10%. So that would have been in the neighbourhood of $16 million or so from what we would have expected to have happened a whole quarter ago looking in Q2. 
Todd Schwartzman - Sidoti & Company: That is helpful. Thank you very much. 
Operator: And this concludes the question-and-answer session. Thank you ladies and gentlemen. That concludes today’s conference. Thank you for participating and you may now disconnect. 